Operator: Good afternoon and welcome to the Rexnord Third Quarter Fiscal Year 2014 Earnings Results Conference Call with Todd Adams, President and Chief Executive Officer; and Mark Peterson, Senior Vice President and Chief Financial Officer of Rexnord. This call is being recorded and will be available on replay for a period of two weeks. The phone numbers for the replay can be found in the earnings release the company filed on an 8-K with the SEC today, January 28, and are also posted on the company’s website at www.rexnord.com. At this time, for opening remarks and introduction, I’ll turn the call over to Mark Peterson, Senior Vice President and Chief Financial Officer of Rexnord.
Mark Peterson : Good afternoon. Before we get started, just a brief reminder that this call contains certain forward-looking statements that are subject to the Safe Harbor language contained in the press release we issued today as well as in our filings with the SEC. In addition, some comparisons refer to non-GAAP measures. Our earnings release and SEC filings contain additional information about these non-GAAP measures and why we use them. Today’s call will provide an update on our overall performance for the third quarter of fiscal 2014 including details on our two platforms, followed by an overview of our financial statements and liquidity highlights. Afterwards, we’ll open the call up to your questions. With that, I’ll turn the call over to Todd Adams, President and CEO of Rexnord.
Todd: Thanks, Mark and good afternoon everyone. Thank you for joining us today for an overview of our fiscal 2014 third quarter results. Starting on page four, we’re pleased with our results this quarter and overall levels of core growth, profitability and free cash flow. We delivered exceptional profitability in cash flow in the quarter in light to the adverse impact of some shipments that pushed to our Q4 based on our customer's request. As I'll cover in just a few minutes you'll see that we picked those sales up in our fourth quarter which is factored into our increased full year outlook for 4% core growth. Through the first nine months of our fiscal year, our overall performance is on track with our expectations and overall strategy which is focused on driving above market core growth, strong incremental margins, free cash flow and earnings per share, while both deleveraging and executing our bolt-on M&A strategy. As it relates to our third quarter we’re confident that again our core growth continues to outpace the growth in our served markets as we delivered 4% consolidated core growth in the quarter. That 4% core growth is comprised of 12% growth in our water management platform and nearly flat core growth in process and motion control which rounds to minus one inclusive of the shipments that pushed to our March quarter. Our adjusted operating income increased 9% from the prior year, as our incremental margin is of 35% drove a 50 basis point increase in our adjusted EBITDA margins with expansion in each of the platforms. With respect to earnings per share our adjusted EPS increased 79% year-over-year to $0.34, $0.02 above the high end of the guidance range we gave in October due to a cash tax benefit that was worth $0.02. Finally, we had a strong free cash flow in the quarter of $72 million which allowed us to both de-lever while making an important acquisition within a process and motion control platform. Turning to the highlights for the quarter within the platforms, the momentum in water management remains strong. We clearly feel the non-res market is now past the inflection point and the go-forward market growth is sustainable, with non-residential construction backlogs continuing to build in the US and Canada. To add a little further color on the end markets and group performance within the platform, Zurn sustained double-digit core growth sales growth again in the quarter continuing to clearly outpace the still moderate, but strengthening overall market growth. This trend combined the strategic growth initiatives we began several years ago continues to give us confidence that Zurn will be a major driver of our overall growth in value creation over the next several years. Within VAG, our backlog continues to grow as our book-to-bill ratio was again above 1, despite the timing of certain orders that we will book in our fourth quarter which sets us up for a solid fourth quarter of fiscal 2014 and provide a strong foundation heading into fiscal 2015. The global fundamentals for water infrastructure continue to be very solid and provide a nice runway for growth over the coming years with particularly strong core growth coming from the Middle East as well as South and Latin America. To close on, water management post another solid quarter. Our visibility and access to an ever improving set of end-markets is as good as it’s been in years and profitability continues to accelerate for the higher teens in terms of EBITDA margins over the coming years. Moving to process and motion controls. Our core sales growth continues to hover around flat in our book-to-bill ratio around 1. Our demand continued to be choppy over the course of the quarter. We saw improved momentum in our shorter cycle order rate activity at the end of the quarter which underpins our expectations of a stronger core sales growth in fourth quarter. Our solid execution enabled us to increase our adjusted EBITDA year-over-year despite the nominal sales decline resulting in a 60 basis points increase in our adjusted EBITDA margin to 25.3%. I think it’s equally important to point out that despite the realities of a lower growth industrial environment, we continued to invest in our businesses for the long-term and have been very disciplined in our approach to drive sustainable productivity and efficiency in our businesses that has allowed us to protect and invest in growth initiatives and enhance long-term sustainable competitive advantage within process and motion control. In the quarter we completed the acquisition of Precision Gear Holdings which expands our presence in both the aerospace and energy markets. Consistent with our other acquisitions this year, we’re excited about the basket of both cost and growth synergies that we have already begun to leverage; which along with the implementation of the Rexnord business system will deliver double-digit return on invested capital in a short period of time. I will further say that at the moment we’re pleased with the status of our acquisition funnel and that we should continue to be smartly acquisitive moving forward. Turning to page 5; I will cover our outlook. For the fiscal year, we’re raising our adjusted EPS range to a $1.35 to a $1.39, as well as our core sales growth to 4% for the year. Translating that to what it means for the fourth quarter we anticipate sales to be in the range of $575 million to $590 million with core growth of approximately 6% and adjusted EPS in the range of $0.46 to $0.50. Consistent with our prior practice all of our guidance excludes the impact of future or pending acquisitions. One final point before I turn the call over to Mark. As you are aware we announced the stock offering this afternoon. We’re not able to get into the details of offerings on this call, but I’ll refer you to the press release registration statement and prospectus that we file with the SEC. With that as turn it over to Mark to cover the financials.
Adams: Thanks, Mark and good afternoon everyone. Thank you for joining us today for an overview of our fiscal 2014 third quarter results. Starting on page four, we’re pleased with our results this quarter and overall levels of core growth, profitability and free cash flow. We delivered exceptional profitability in cash flow in the quarter in light to the adverse impact of some shipments that pushed to our Q4 based on our customer's request. As I'll cover in just a few minutes you'll see that we picked those sales up in our fourth quarter which is factored into our increased full year outlook for 4% core growth. Through the first nine months of our fiscal year, our overall performance is on track with our expectations and overall strategy which is focused on driving above market core growth, strong incremental margins, free cash flow and earnings per share, while both deleveraging and executing our bolt-on M&A strategy. As it relates to our third quarter we’re confident that again our core growth continues to outpace the growth in our served markets as we delivered 4% consolidated core growth in the quarter. That 4% core growth is comprised of 12% growth in our water management platform and nearly flat core growth in process and motion control which rounds to minus one inclusive of the shipments that pushed to our March quarter. Our adjusted operating income increased 9% from the prior year, as our incremental margin is of 35% drove a 50 basis point increase in our adjusted EBITDA margins with expansion in each of the platforms. With respect to earnings per share our adjusted EPS increased 79% year-over-year to $0.34, $0.02 above the high end of the guidance range we gave in October due to a cash tax benefit that was worth $0.02. Finally, we had a strong free cash flow in the quarter of $72 million which allowed us to both de-lever while making an important acquisition within a process and motion control platform. Turning to the highlights for the quarter within the platforms, the momentum in water management remains strong. We clearly feel the non-res market is now past the inflection point and the go-forward market growth is sustainable, with non-residential construction backlogs continuing to build in the US and Canada. To add a little further color on the end markets and group performance within the platform, Zurn sustained double-digit core growth sales growth again in the quarter continuing to clearly outpace the still moderate, but strengthening overall market growth. This trend combined the strategic growth initiatives we began several years ago continues to give us confidence that Zurn will be a major driver of our overall growth in value creation over the next several years. Within VAG, our backlog continues to grow as our book-to-bill ratio was again above 1, despite the timing of certain orders that we will book in our fourth quarter which sets us up for a solid fourth quarter of fiscal 2014 and provide a strong foundation heading into fiscal 2015. The global fundamentals for water infrastructure continue to be very solid and provide a nice runway for growth over the coming years with particularly strong core growth coming from the Middle East as well as South and Latin America. To close on, water management post another solid quarter. Our visibility and access to an ever improving set of end-markets is as good as it’s been in years and profitability continues to accelerate for the higher teens in terms of EBITDA margins over the coming years. Moving to process and motion controls. Our core sales growth continues to hover around flat in our book-to-bill ratio around 1. Our demand continued to be choppy over the course of the quarter. We saw improved momentum in our shorter cycle order rate activity at the end of the quarter which underpins our expectations of a stronger core sales growth in fourth quarter. Our solid execution enabled us to increase our adjusted EBITDA year-over-year despite the nominal sales decline resulting in a 60 basis points increase in our adjusted EBITDA margin to 25.3%. I think it’s equally important to point out that despite the realities of a lower growth industrial environment, we continued to invest in our businesses for the long-term and have been very disciplined in our approach to drive sustainable productivity and efficiency in our businesses that has allowed us to protect and invest in growth initiatives and enhance long-term sustainable competitive advantage within process and motion control. In the quarter we completed the acquisition of Precision Gear Holdings which expands our presence in both the aerospace and energy markets. Consistent with our other acquisitions this year, we’re excited about the basket of both cost and growth synergies that we have already begun to leverage; which along with the implementation of the Rexnord business system will deliver double-digit return on invested capital in a short period of time. I will further say that at the moment we’re pleased with the status of our acquisition funnel and that we should continue to be smartly acquisitive moving forward. Turning to page 5; I will cover our outlook. For the fiscal year, we’re raising our adjusted EPS range to a $1.35 to a $1.39, as well as our core sales growth to 4% for the year. Translating that to what it means for the fourth quarter we anticipate sales to be in the range of $575 million to $590 million with core growth of approximately 6% and adjusted EPS in the range of $0.46 to $0.50. Consistent with our prior practice all of our guidance excludes the impact of future or pending acquisitions. One final point before I turn the call over to Mark. As you are aware we announced the stock offering this afternoon. We’re not able to get into the details of offerings on this call, but I’ll refer you to the press release registration statement and prospectus that we file with the SEC. With that as turn it over to Mark to cover the financials.
Mark Peterson: Thanks Todd. Consistent with prior quarters, we’ll speak primarily to adjusted operating profit and EBITDA, adjusted net income and adjusted earnings per share, as we feel these non-GAAP metrics provide a better understanding of our operating results. Slide 6 of the presentation takes our reported results and reconciles with the adjusted results.  Turning to Page 7, I’ll discuss our operating performance highlights for the third quarter. Third quarter sales increased 4% from the prior year period to $489 million driven by core sales growth of 4%. Adjusted operating income increased 9% from the prior year to $71 million in the third quarter or 14.6% of sales. Year-over-year our adjusted operating income margin increased 80 basis points driven by a 35% incremental margin on the sales growth in the quarter. Our adjusted EBITDA was $98 million or 20% of sales, up 50 basis point increase in the margin year-over-year. Third quarter adjusted net income was $34 million resulting in adjusted earnings per share of $0.34 which increased 79% from the prior year due to the increase in operating income and the benefit of the debt refinancing we completed last quarter. Cash flow was solid in the quarter as we generated $72 million of free cash flow effectively funding the acquisition of Precision Gear. Next, I’ll take some time on Slide 8 to walk through the operating performance and our Process and Motion Control platform. Sales in the third quarter decreased 1% year-over-year to $301 million. Low single-digit core sales growth in the majority of our end markets was basically offset by a decline in sales for bulk material handling markets, resulting in core sales down to 1% year-over-year. Turning to profitability, adjusted operating income was $59 million and our adjusted operating income margin improved 60 basis points to 19.6% on the slightly lower year-over-year sales. Adjusted EBITDA was $76 million in the quarter and our adjusted EBITDA margin also increased 60 basis points from the prior year to 25.3%. We continue to focus on effectively managing our cost structure and creating productivity gains in this low growth environment on investing strategic growth initiatives. Turning to page 9, I’ll make a few comments on our Water Management Platform. Water Management sales in the third quarter increased 12% from the prior year to $188 million. Core sales growth was 12% in the quarter driven by market share gains in the majority of our served markets and increased alternative market sales in our non-residential construction end markets. Third quarter adjusted operating income increased 36% year-over-year to $19 million and our adjusted operating income margin increased 160 basis points from the prior year to 10%. Adjusted EBITDA was $28 million in the quarter and our adjusted EBITDA margin increased 100 basis points year-over-year to 15% as we drove productivity gains in the platform and effectively leveraged the sales growth. Moving to slide 10, I’ll touch on a few cash flow and liquidity highlights. We finished the quarter with $193 million of cash, $520 million of total liquidity. Total debt at the end of the quarter was $1,950 million and net debt was $1,757 million resulting in a net debt leverage ratio of 4.2 times, which improved from 4.3 times in the end of our second quarter inclusive of the Precision Gear Holdings acquisition. Before I discuss some of the details on our outlook, I want to comment on our effective tax rate. As we discussed in our last call we anticipated our full year effective tax rate excluding non-recurring items like the loss in debt extinguishment to be in the range of 31% to 33%, and that range remains unchanged. Our effective rate, excluding the loss and debt extinguishment in the first ten month of the fiscal year was approximately 30% and was impacted by recognizing certain discrete tax benefits in our first and third quarters. Because these items are recognized in the first nine months of our fiscal year, we'll have a tax rate of approximately 35% to 37% in the fourth quarter resulting in a 31% to 33% rate for the full year. Before we turn the call back to the operator to take any questions you may have, I’ll make a few final comments on our outlook. In addition to the outlook highlights Todd covered earlier in the call, page 5 of the presentation highlights our assumptions for interest expense, depreciation and amortization, stock option expense, our effective tax rate, capital expenditures, and fully diluted shares outstanding for fiscal 2014. In addition, our guidance assumes we do not incur any non-operating other income or expense as we do not forecast realized and unrealized gains or losses from foreign currency fluctuations, gains or loss on the disposal of assets or other items that are recorded in this P&L line item. Our guidance excludes the impact of potential acquisitions and divestures, and future non-recurring items such as restructuring costs. With that, I’ll turn the call over to the operator and open up to any questions.
Operator: (Operator Instructions) The first question is from Julian Mitchell from Credit Suisse, please go ahead.
Julian Mitchell - Credit Suisse: Just firstly on the, you got a 200 bps acceleration in organic sales growth, sort of year-on-year from the December to the March quarter, what’s driving that? I mean is some of that PMC turning positive again and is water kind of pretty steady year-on-year?
Todd Adams: The 12% growth in water that we had in our third quarter, we expect a similar number in our fourth quarter and if you look at PMC, a couple of things we had a couple of shipments that moved from the December quarter to March and I also referenced some improving I’ll say shorter cycle MRO sort of business. So from a core growth number I think you will see a meaningful difference from our December quarter to our March quarter and our PMC growth moving to that low to mid single-digit number and that’s what’s embedded in our 6% consolidated core growth number.
Julian Mitchell - Credit Suisse: Got it, thanks. And then within PMC you had a little bit of restructuring and historically if I had good incremental margins there. You know if we start to see better organic growth in that business on the top line what kind of incremental margins do you think that business can generate?
Todd Adams: We did do a little restructuring in the quarter really consolidating two aerospace facilities to be super confident and the ability to execute an increasing backlog going forward. We have always characterized the incremental in process and motion control in that sort of 38%, 35% range and so we’re hitting that now with I will say flattish sort of growth environment and so as growth returns we expect the margins to be there as well.
Julian Mitchell - Credit Suisse: And then just lastly on the sort of acquisitions that you have announced in the last few months. You said them in the aggregate, what’s the average kind of margin on those acquired businesses?
Todd Adams: They are right around maybe slightly less than the PMC average.
Operator: Mig Dobre from Robert W. Baird is online with a question. Please go ahead.
Mig Dobre - Robert W. Baird: Thank you for taking my question. First can you provide a little more clarity on these shipments that have been pushed to fourth quarter?
Todd Adams: There is not a tonne to clarify other than as we got towards the end of December, couple of customers in certain end markets decided that they would prefer to receive shipments beginning in January and then so obviously for us we want to do what’s right for our customers and we moved it. So that’s nothing more than that.
Mig Dobre - Robert W. Baird: I understand, I guess I am just wondering if maybe I presume that this in PMC and I am wondering the size or anything like that you can be talking about.
Todd Adams: The size, I don’t think its worthwhile getting in the details, but it’s in the order of magnitude of 5 million bucks.
Mig Dobre - Robert W. Baird: That’s helpful. And I realized that you guys put out fourth quarter guidance and everything else but considering the circumstance, I am wondering if you would like to sort of maybe craft away we should be thinking beyond the fourth quarter as far as growth in both PMC and water management.
Todd Adams: I think it’s a little early for that obviously as we refine our thoughts on that over the next couple of months we’ll be in a spot to I think provide an update but at this point just at high level water continues to accelerate. So I think the clip that we’re running at now, next year should be at or around that. So I am thinking high single, low double digit sort of top line growth. And I think at this point we would be thinking about PMC and that sort of low to mid single digit growth heading into next year.
Mig Dobre - Robert W. Baird: Excellent. And in PMC if we can talk about a couple of end market specifically bulk material has been a challenge I know that over the last few quarters. I am just wondering when are we going to see frankly easier comps going forward and any sort of comment that you can provide as far as aftermarket versus OE demand in that end market?
Todd Adams: Sure, we’ll set it head on Mig. I think if you look at PMC at minus one, if we strip out the impact of bulk material handling we’re plus three or four. So that’s sort of a relative impact in the quarter. If I look at what’s happening there, clearly the production side is stabilizing, we’re seeing that in our numbers and we see that progressing over the course of the next quarter and into next year as well. From a capital side, I think it’s well documented and understood that it’s going to be another tough year. So from a capital perspective I don’t think we see easier comps really for another year, from a production standpoint I think we begin to see favorable comps, call it in our June quarter from an easier comp standpoint. So the good thing is I think we have substantially diversified and our other core businesses are really starting to accelerate and I think that’s the message underneath.
Mig Dobre - Robert W. Baird: That’s great and the last one from me is really on the general industrial portion of that business. I am wondering specifically what are you seeing as far as distributor demand progression. Some other companies in your industry have commented on slightly better demand coming out of that growth. Are you seeing something similar?
Todd Adams: I think we are. If we look at our first half of our fiscal year it’s really through September, we saw relatively stable demand. We saw a little bit of a step down in the middle part of our December quarter followed by acceleration throughout the month of December and the same acceleration we’re sort of seeing today. So I think that’s the pattern from a distribution standpoint.
Operator: Andrew Obin from Bank from America is online with the question. Please go ahead.
Andrew Obin - Bank from America: Yes, thank you. The commentary on bulk materials was actually quite helpful. So, just to make it clear, so you sort of think that the comps start getting better sometime this summer, is that a fair statement?
Todd Adams: We do it.
Andrew Obin - Bank from America: Is that what I have heard right?
Todd Adams: You have, yes.
Andrew Obin - Bank from America: Okay. Can we just talk about the water and couple of questions, a; what give you, because it seems this non-residential recovery is sort of controversial topic? What gives you confidence that you have seen the bottom? And second if you can just provide some color on water outside of North America? Thank you.
Todd Adams: I think the ruddier question is what gives us confidence that we have seen the bottom and we are seeing the inflection point in water management a really non-res growth and that’s something we do a tremendous amount of work on. We understand all of the end markets; we look at the projects where they are happening, where the backlogs are building. And if I look at that it’s clear to us that perhaps last quarter and definitely this quarter we have passed through the period in which we were declining to actually seeing very low single-digit market growth. If you look at the Dodge Momentum Index I think that really is, it captures where that backlog is. So, we are very comfortable that the market is growing. If I look at the second part of your question which is what’s happening in water outside of North America, we are seeing really very good growth in a number of geographies. We outlined the Middle East and really South and Latin America is two great growth end markets and we see that continuing for the next several years. I characterize Europe is stable and china is improving, so hopefully we covered everything you were looking for but that’s how we would answer those questions.
Operator: David Rose from Wedbush Securities Inc. is online with the question. Please go ahead.
David Rose - Wedbush Securities Inc. : Hi, good afternoon. And a couple of follow-up questions, on the delayed order was it in volcano link or?
Todd Adams: It was not.
David Rose - Wedbush Securities Inc.: Okay. So if we strip that out then your orders would have been higher outside of volcano link that you clear, right?
Todd Adams: That’s correct.
David Rose - Wedbush Securities Inc.: Okay. And then if you could, the corporate expense declined year-on-year, was there any particular reason for any initiatives?
Todd Adams: I think it’s just timing if I remember correctly David, it was down I think $300,000 or $400,000 year-over-year. So, it’s really nothing specific in material stuff, it was just timing of those expenses.
David Rose - Wedbush Securities Inc.: Okay.
Mark Peterson: The one thing to point out is that when you look at corporate expenses sequentially factored into our guidance there is an increase in corporate expense is really around M&A and levels of diligence activity that we see in our fourth quarter.
Todd Adams: Into our fourth quarter, yeah.
Mark Peterson: But year-on-year, we don’t think there is anything significant but I think it’s worthy of pointing out that as we look in to our fourth quarter expect a corporate expenses to be a little bit higher in support of some acquisition activity that we are pursuing.
David Rose - Wedbush Securities Inc.: And can we think about it in the same, sort of in the same lines as the TTNA?
Todd Adams: We are not going to comment on anything other than to say we are seeing an increased level of activity and as a result of that you will see some diligence in related expenses in the fourth quarter that are higher than what we have been running in the last quarter.
David Rose - Wedbush Securities Inc.: Okay. And then the other expense side about half of which I think you accounted for, the other half wasn’t accounted for I think a little over 2 million. Can you provide a little bit more color on that?
Mark Peterson: The $4 million of other expense in the quarter?
David Rose - Wedbush Securities Inc.: Yeah, I think about a half.
Mark Peterson: $2 million of unrecognized foreign currency loss was about $1 million and I am taking about round numbers of some retention clause in the balance there is some losses recognized on disposable assets. And really nothing outside the extra $1.5 million, nothing that’s material, some plus or minus $300,000, $400,000. I don’t have the details with me right now but there’s nothing material in that number.
David Rose - Wedbush Securities Inc.: Okay. And then lastly on the inventory job, is that largely related to the delayed order or delayed delivery of the order?
Todd Adams: The inventory step-up, part of it is some M&A inventory that comes in from Precision Gear Holding in the quarter and part of it is the inventory portion that you referred to as well as some backlog shipment timing that hits our fourth quarter and were building the inventory in December.
David Rose - Wedbush Securities Inc.: So, should we see better turns in Q4?
Todd Adams: Yes, you will.
David Rose - Wedbush Securities Inc.: Okay. All right, great. Thank you.
Mark Peterson: When you look at the water growth that we are talking about that’s on top of substantial water growth in our fourth quarter last year. So, in order to get to the 1% growth, it’s a large project that we are, we have begun to build for and so that you will absolutely see an improved turn number in our fourth quarter.
David Rose - Wedbush Securities Inc.: Okay. And as you talk about growth internationally, the receivables going to grow as well given the more growth internationally or we are not going to see much growth there?
Todd Adams: I wouldn’t see anything pronounced there.
Mark Peterson: There should be no meaningful change metrics in the fourth quarter.
Operator: Samuel Eisner from Goldman Sachs is online with the question. Please go ahead.
Samuel Eisner - Goldman Sachs: In terms of the long-term margin targets for you guys, I think, you put out there for about 30% for PMC and about 25% for WM. Maybe you can talk a little bit about the timing of that and the steps that you need to take in order to achieve those respective EBITDA margin targets?
Mark Peterson: Sam, just to clarify the incremental margins for PMC are 30% to 35% for water they’re in that 20% to 25%. We think that over three to five year horizon that translates to PMC EBITDA margins in total in that high 20s I think these little bit further out we could stretch ourselves to 30 and then in water management we’re at 15 to-date couple of years ago we said that we could get to 17% to 19% within three to five years. So we’re tracking for that number within that horizon. And I think again we’re stretching ourselves a little bit 20% for water is not out of the question.
Samuel Eisner - Goldman Sachs: And in terms of the steps in order Jeff is that primarily leverage or is it pricing or then maybe we can just kind of put them into some larger buckets here I mean where do you think the bulk of that is coming from?
Mark Peterson: This would be obviously including some I’ll say reasonable growth in that number, pricing environment is sort of stable, so that’s really not it. Again, if I look at each of the two growth paths, it’s a little bit different. In processing and motion control, we’re driving continuous improvement all the time through the business system. We also see the opportunity to continue to begin to, I’ll say, consolidate some of our factories to be more efficient and because of the productivity we’ve driven. So there is a little bit of footprint opportunity as well as more value add, value engineering and also bringing products to market through our new product development process with better margins than their predecessors. So it’s really all of the above. If I look at water, we’ve made the investment, we’ve got the global footprint there and really it is leveraging the volume that we see coming over the next couple of years. So there is, I’ll say, less heavier lifting to do in water and there is some things that were laser focused that we need to get done in PMC and we will get done over the next couple of years.
Samuel Eisner - Goldman Sachs: I really appreciate that. And then just on the backlog in WM, I know you gave I think you gave that there is over one, but from a year-to-date basis and nine months, where do you stand on the book-to-bill for water management?
Todd Adams: Yes, we have through the first half of the year about 1.15, we’re over one point right now through the first nine first months we’re in that 1.1 zip code plus or minus on our book-to-bill in the VAG portion of water management the reserve is really what can turn that’s always we’re having our one but VAG is at approximately 1.1 book-to-bill through nine months.
Samuel Eisner - Goldman Sachs: That’s great. And then just…
Todd Adams: And so fourth quarter going in the next year as well.
Samuel Eisner - Goldman Sachs: Very good. And then in terms on capital allocation, I know you comment that you saw increased level of activity in the M&A pipeline. Can you maybe just talk about valuation to what you’re seeing from a bit of spread (Ph) standpoint?
Todd Adams: Again, we’re not getting into any specifics. Sam, we’re seeing opportunities that we work for a long period of time but we’re not in an option, so it’s a proprietary sort of situation where we’re buying comfortably in that, I’ll call it, five to eight range with both cost and revenue synergies right behind that. So you can do the arithmetic and see the return on invested capital looks very attractive, very quick. So, not sure which ones fall out of our funnel in the timing but comfortable in five to eight range is sort of how I would characterize where we’re seeing valuations deals getting done.
Operator: We have no further questions at this time.
Todd Adams: Okay, Alexandra, thank you. And thank you everyone for joining us on the call. We appreciate your interest in Rexnord and look forward to providing you further updates when we announce our fiscal year 2014 fourth quarter results in mid-May. Thanks so much. Good night.
Operator: